Operator: Ladies and gentlemen, thank you for standing by and welcome to the Saputo Third Quarter Results of 2013. [Operator Instructions] And as a reminder, this conference is being recorded Wednesday, February 13, 2013. I would like now to turn the conference over to Mr. Lino Saputo, Jr. Please go ahead, sir.
Lino Anthony Saputo: Thank you very much, Tommy.
Unknown Executive: Good afternoon, everyone, and thank you for joining us today. A press release detailing our results for the third quarter of fiscal 2013 was issued earlier today and is also available as we speak on our website at www.saputo.com. This call is being recorded and will be posted on our website for future reference. [Operator Instructions]. Before we proceed, I remind you that certain statements that made during this call may constitute forward-looking statements within the meaning of securities laws. Caution should be used in the interpretation of such statements since management has made certain assumptions including, among others, assumptions regarding projected revenues and expenses and references to beliefs, expectations, objectives and strategies that are subject to a number of risks and uncertainties, which could cause actual results to differ materially from those presented in such forward-looking statements. For more information on these risks and uncertainties, please refer to the materials filed with the Canadian Securities Regulatory Authorities available on SEDAR. Any forward-looking statement made during this call is based on management's current reasonable estimates, expectations and assumptions, and we do not undertake to update or revise such forward-looking statements except as required under securities laws. The speakers today are Mr. Louis-Philippe Carrière, our Executive Vice President, Finance and Administration; and Mr. Lino A. Saputo, Jr., our Chief Executive Officer and Vice Chairman of the Board. After a brief presentation, we will conclude the call with your questions. Louis-Philippe will now begin the conference followed by Lino Jr.
Louis-Philippe Carrière: Thank you, Sandy, and good afternoon. I will now present our results for the third quarter of fiscal 2013 in comparison to the corresponding quarter last fiscal year. Net earnings totaled $130 million, an increase of $0.2 million or 0.2% for the quarter. Earnings before interest, income taxes, depreciation and amortization, EBITDA, amounted to $212.5 million, an increase of $5.2 million or 2.5%. EBITDA for the Canada, Europe and Argentina Dairy Products sector totaled $128.1 million, a decrease of $3.8 million. In the Dairy Product Division (Canada), better product mix and lower ingredient costs contributed positively to EBITDA. EBITDA for the Dairy Product Division (Argentina) decreased due to lower sales volumes and selling price, mainly in the export market. EBITDA for the Dairy Product Division (Europe) was slightly lower. EBITDA for the U.S.A. Dairy Products Sector totaled $81.4 million, an increase of $8.7 million. During the quarter, market factors combined had a positive impact of approximately $8 million on EBITDA. These factors include the increase in the average block market per pound of cheese, favorable fixed cost absorption, a favorable inventory realization, better dairy ingredient product mix and an unfavorable (sic) [favorable] dairy ingredients market. The strengthening of the Canadian dollar had a negative impact on EBITDA of about $3 million. EBITDA for the Grocery Products sector amounted to $3 million, a $0.3 million increase mainly due to higher sales volumes. Consolidated revenue amounted to $1,801,000,000, an increase of $4.1 million. This is mainly due to our higher average block market per pound of cheese in the U.S.A. Dairy Products Sector as well as a better product mix and higher selling price in relation to the higher cost of milk in the CEA Dairy Products Sector. Cash generated from operating activities amounted to $194.5 million, a decrease of $24.3 million, mainly attributed to change in noncash operating working capital item. During the quarter, we added $37.4 million to property, plant and equipment, paid $41.4 million in dividends, and repurchased share capital for a total of $16.1 million as part of the normal course issuer bid. The Board of Directors approved a quarterly dividend of $0.21 per share payable on March 15, 2013, to common shareholders of record on March 4, 2014 -- '13. Lino Jr. will now proceed with the presentation of our outlook.
Lino Anthony Saputo: Thank you very much, Louis-Philippe, and good afternoon to you all. As L. P. indicated, our results are slightly above those of the same period last fiscal year. We have, however, faced some challenges in Europe with respect to obtaining milk supply at prices competitive with the selling price of cheese while in Argentina we are still mitigating the increasing cost of milk as raw material and in the U.S., we're managing the effects from the amendments to the milk pricing formula in California. Notwithstanding, we continue to analyze our operations to improve overall efficiencies. This said, the new year started on a very positive note with the acquisition of Morningstar Foods. In early January, I had the pleasure to return to every facility with our Chief Operating Officer, Dino Dello Sbarba, and our adopted management team, and we had the privilege to meet our Morningstar employees. I was delighted to be greeted by a group of motivated and professional employees and, as expected, our plants were running well. Even though we had visited every facility during the due diligence process, it was nice to return to begin the integration with our new team. We're very excited about this addition, as it represents a great platform, which complements our U.S. cheese operation and provides us an opportunity to sell diverse dairy products to current and new customers in the United States. Morningstar's product portfolio is not unfamiliar to us. In fact, we have been processing similar-type products in our Canadian Dairy Division for many years. And though this represents a $1.45 billion acquisition, we've maintained our financial flexibility. We therefore continue to actively evaluate other potential acquisitions, which will allow us to pursue our strategy of growth through acquisitions. And on this note, I thank you for your time, and we will now proceed to answer your questions. Tommy?
Operator: [Operator Instructions] And our first question is from the line of Irene Nattel with RBC.
Irene Nattel - RBC Capital Markets, LLC, Research Division: Just following up on your Morningstar comments, Lino, I was wondering if you could just spend a couple of minutes and talk a little bit about the Morningstar plants. Where, in your second visits, you saw specific areas that maybe you do things a little bit differently and a little bit more efficiently than those plants do and perhaps vice versa and how we should think about Morningstar as part of Saputo on a go-forward basis?
Lino Anthony Saputo: Great. And it's actually a great way to start because we're really excited about this acquisition. I've told the employees while I had the opportunity to visit our plants the second time around that I believe we've got the jewel in the old Dean Foods system. Operationally, I think these plants, and we identified these in our due diligence process, that the plants are running actually quite well. In terms of real low-hanging fruit for opportunity for improvement, there aren't all that many to make. Of course, there's some opportunities, I think, on the corporate side, sharing some services like accounts payable and accounts receivable and human resource structures and things like that. I'm sure there's a lot that we can benefit from by bringing the Saputo Cheese USA and the Morningstar functions together. But from an operational perspective, the plants were running quite well. Where we see the value in this business is now we've got 2 different platforms in the U.S.: one which is a cheese platform that still has a great opportunity for growth, growth either organically and/or through acquisitions; and now, a new platform, with products that are dairy-oriented products but not products that we had been historically producing or processing in the U.S., things like the ice-cream mixes to some customers that are very, very familiar to us north of the border. When you look at creamers and nondairy creamers, products very familiar to us north of the border. Now we have those products and those plants and that infrastructure in the U.S. Sour cream, cottage cheese, again we are leaders in Canada in those categories of product and now, with the Friendship brands, we have an opportunity to sell those products at retail in the U.S. So again, if you're thinking about synergies or cost reductions, perhaps not a lot of opportunity, as we may have seen in the Land O'Lakes or Alto acquisition. But in terms of opportunity or just ability for us to consider other assets in the U.S. for acquisition that would be easy to tuck into either Morningstar or Saputo Cheese USA, I think we've just opened up the dairy world for ourselves to be able to consider other acquisitions and more product categories.
Irene Nattel - RBC Capital Markets, LLC, Research Division: That's great. And just clearly, also in your opening remarks, you once again highlighted acquisitions. So should we be expecting more tuck-in acquisitions, either sort of on the Morningstar side or Saputo USA? And how does -- how should we think about the DCI platform and where that all fits in now?
Lino Anthony Saputo: Well, again, with this $1.45 billion acquisition, we still maintain the flexibility of anywhere from $2 billion to $2.5 billion of acquisition funds. So if there is an acquisition available to us, whether that would be in the U.S. or anywhere else, one acquisition or multiple acquisitions, we still have that appetite to make those types of acquisitions. Again, our management team is well aware of our desire to grow through acquisitions. I think, again, even with the structure of Morningstar, we inherit an incredible management team. President Kevin Yost is on board with us. His entire management team is on board with us. And again, we've identified to the entire management team that if there are other opportunities for us to make acquisitions in the U.S. that would further complement Morningstar, we're prepared to make those acquisitions. The same could be said for Saputo Cheese USA. Terry Brockman and his team there are very well aware that we have an appetite to grow. We're not afraid to invest in our business, whether that would be through capital expenditure, return on investment type of initiatives or, again, through acquisitions for specialty-oriented platforms that would further complement DCI. So again, I think as we move forward, we further strengthened our platform. I've been asked the question many times before, how do I see Saputo's future? I see us bigger, I see us better and I see us stronger. And I'm even more optimistic today than I've ever been before in terms of our ability to materialize other acquisitions and continue to grow every single one of our platforms.
Irene Nattel - RBC Capital Markets, LLC, Research Division: Sounds good to me. But before I give it up, one other question on a related but different topic and that's volumes in the U.S. during the quarter. If we back out the movements in the cheese prices and the FX, it looks like volumes were down kind of low- to mid-single digits. I'm just wondering what was going on in the quarter and whether that's something that we -- on a constant business basis, that is likely to persist in sort of current and future quarters?
Lino Anthony Saputo: Yes, and that's a very good analysis, Irene, and you're spot on. The volume in the U.S. business has been down, at Saputo Cheese USA. I would say it's mostly related to retail-oriented business. We saw food service increase over the course of last quarter and our ingredient business is pretty well stable. So most of the decline was related to retail business. I think some of that is cyclical, that perhaps could come back over the next few quarters. We're not overly concerned about the volume. Again, we're not -- how can I say this in the right way? We're not volume-oriented; we're profit-oriented, as a primary focus. But right now, there are no signs that are overly concerning for me.
Irene Nattel - RBC Capital Markets, LLC, Research Division: Okay. So you don't think that there's -- you think it's something more specific to the market as opposed to your position within the market?
Lino Anthony Saputo: I would think so, yes.
Operator: Now we'll proceed to our next question from the line of David Hartley with Crédit Suisse.
David Hartley - Crédit Suisse AG, Research Division: I just wanted to ask a little bit about those volumes. You talked that you're not too concerned about it. Can you maybe characterize -- is it a question of pricing? The pricing has gone up, demands come down. Some kind of elasticity? Can you give us a little bit more detail around that?
Lino Anthony Saputo: If I look at the U.S. marketplace, there are, again, shifts between the retail and the food service business on an ongoing basis. And again, it sometimes has to do with economic factors, sometimes has to do with factors unrelated to economics and, I guess, trends or patterns of consumers. On the food service side we saw the volume increase, we saw the block market decrease and I'm not sure if there's a real correlation between one and the other. On the retail side, the block market decrease really did not have a whole lot of bearing on retail pricing but there was a lot more competition related to retail sales. Again, we've got great products, great brands, great diversification in terms of our overall product portfolio. And I certainly don't want to use Hurricane Sandy as an excuse but it did have a little bit of an impact on us in terms of allocations of product coming in from overseas in a period where it is the most, I guess, the most active period for us, which is the holiday period. I'm not going to use that as an excuse. So the overall sales have been down but I would suspect that most of that would come back.
David Hartley - Crédit Suisse AG, Research Division: Okay, fair enough. And just on efficiency initiatives, I'm certainly aware of what you're working on today. Do you foresee yourself -- do you have some kind of projects in the pipeline that you expect will commence -- that are new that would commence in the next fiscal year?
Lino Anthony Saputo: Absolutely. We're currently in our budgeting process. Our fiscal year ends March 31, and usually, we start our budgeting process January and February. And there are always ideas and opportunities for us to be that much more effective and that much more efficient. Sometimes they require some capital investments and other times they don't. It's just a question of doing things a little bit differently and perhaps more proactively. This year is no different than years in the past. I think we have more ideas than we have time to execute them so I'm not saying that we've come to the end of the line here. I think there still is quite a bit of road here for us to make further improvements in just about all of our operations and all of our divisions.
David Hartley - Crédit Suisse AG, Research Division: Okay. And just on trade talk -- international trade talks, whether it'd be Trans-Pacific, Europe or otherwise, South America. Can you give us any thoughts on that and how -- what you've heard and how it may impact your business?
Lino Anthony Saputo: We probably don't have more information than what you might be having. We read the same papers you would read. What I'm understanding, though, is that the CETA is high on the priority risk for our government -- CETA meaning that there would be a trade agreement with Europe. That could change the dynamics in terms of the import allocations or the quantities allocated in quota for imported dairy products. Again, we don't have any more information than anybody out there. I think that we have an ability to be able to respond quite rapidly and react quite effectively to any changes in the system. But my understanding is that CETA is pretty high up there in terms of the priority list for our government. Following CETA, there are other discussions, which is the TPP, Trans-Pacific Partnership, which would, I would say, have an effect or could have some sort of an effect on Canada's milk supply management system. But there again, it's all theoretical. We don't have any more insight than anybody else. All I can say is whatever happens, either with CETA or the TPP, especially now with the assets we have with Morningstar, there is no company better suited than Saputo to take advantage of north-south trade as opposed to east-west trade. And if there is a change in the system, I know we have the resources, both infrastructure as well as the capital resources and human resources, to be able to take the right decision at the right time to take advantage of whatever changes occur.
David Hartley - Crédit Suisse AG, Research Division: I guess, I'm being a little sneaky by asking this but do you spend more of your time, resources, in terms of how you're aligning your system in preparing for the day that potentially changes come, particularly north/south of the Canadian-U.S. border?
Lino Anthony Saputo: Not any more than usual. And the only reason for that is because we don't know what shape or form that will take. For instance, if there is a dissolution of the milk supply management system in Canada, what kind of system will Canada adopt? Will it be a U.S.-style system? Will it be an Argentinian-style system? Will it be an Australian-style system? We don't know. So it's tough to start to coordinate or organize ourselves for 1 of 4 or 5 different potential systems without really understanding what the impact to us is. Again, we deal extremely well in Canada. We deal extremely well in the U.S. We're very, very, very comfortable in Argentina. Any one of those systems would suit us and we would just take and make the best of it.
David Hartley - Crédit Suisse AG, Research Division: Okay. And just final question. Given that and the last 2 acquisitions in the U.S. haven't necessarily generated a huge amount of operational synergies, as you've mentioned but are you -- how hopeful are you that you can layer in other assets to change that, where you can leverage this platform?
Lino Anthony Saputo: Very hopeful. I mean, if I look at where we're placed in the U.S. specifically, on the cheese side, we're less than 10% of the cheese manufactured and sold; that would be either commodity or specialty. So I think that there still are some great opportunities for further consolidation. And again, if I look at the Morningstar assets and what we've acquired and perhaps some other potential -- other companies that are out there, making similar-type products, I think there could be some neat tuck-ins that could make us, again, bigger, better and stronger. So I'm fairly optimistic. And again, I'm not going to give a timeframe here because we're looking at the long haul. We're not looking at short term. I think that there will be some opportunity for further acquisition and further consolidation within the U.S.
Operator: Now we'll proceed to our next question. It is from the line of Martin Landry with GMP Securities.
Martin Landry - GMP Securities L.P., Research Division: I believe that your EBITDA in dollar terms in Canada is up year-over-year. I'd be interested in having the breakdown between volume and pricing if you can share that with us.
Louis-Philippe Carrière: I would say, as we mentioned into the quarterly report, essentially, certainly there's some improvement from last year in the Canadian EBITDA and mainly relate to product mix and -- product mix, essentially.
Martin Landry - GMP Securities L.P., Research Division: Okay. So does that mean that your volumes were either flat or down?
Louis-Philippe Carrière: Depending on the category. So there were some -- certainly some category that were up, some category that were down. In all we're pretty flat, I would say, but the mix is giving us certainly a better return.
Martin Landry - GMP Securities L.P., Research Division: Okay. And shifting to the U.S. I'd be interested to hear your views on the outlook for the calendar year for 2013 in terms of volumes for cheese in the U.S., Lino?
Lino Anthony Saputo: On an organic basis, I would say that it probably would be similar to what we've seen historically: increased overall consumption in the U.S. And in fact, we had the IDFA meetings out in Orlando not that long ago, and most -- in fact, it was in the month of January. And most of the economists of the industry are predicting about 1.5% growth in consumption.
Martin Landry - GMP Securities L.P., Research Division: Okay, okay. And just shifting on Morningstar. I believe that one of your main input costs for Morningstar is milk and milk prices in the U.S. fluctuate significantly. I'm wondering how easy it is for you to pass on these fluctuations to your clients?
Lino Anthony Saputo: Not -- I mean, if I look at the raw material input of Morningstar, there is a portion of it which is milk. The balance of it is butterfat. It's bought on a established market and sold on an established market.
Martin Landry - GMP Securities L.P., Research Division: So does that mean that you can pass on all of your -- the fluctuation in your input cost to your clients?
Lino Anthony Saputo: That means the majority of it will be passed on to customers.
Operator: And we'll proceed to our next question. It is from the line of Michael Van Aelst from TD Securities.
Michael Van Aelst - TD Securities Equity Research: I just want to follow up on a few of the earlier questions. On the U.S. volumes, Irene mentioned low- to mid-single-digit declines. If you were to take into consideration the drop in the dairy ingredient prices as well, like WPC and that, would you say that mid-single digits is accurate in terms of dropoff volumes or is it lower than that?
Louis-Philippe Carrière: Lower than that.
Michael Van Aelst - TD Securities Equity Research: So a few percent is reasonable?
Louis-Philippe Carrière: Yes. Yes, absolutely.
Michael Van Aelst - TD Securities Equity Research: Okay. And I guess on the specialty cheese in the U.S. Can you discuss a little bit of the progress that you've made so far in expanding that business since you bought DCI?
Lino Anthony Saputo: Well, on the operational side, we've improved the facility in Green Bay, where we receive and cut and wrap our products. So there are some efficiencies that we've brought to the table there. From a market standpoint, realignment between our retail versus deli-type sales, so there has been some realignment. Some improvements that we've made are related to further streamlining our retail focus with our retail-branded products coming from DCI and commodity products or value-added products into the DCI system at the club-store level. So again there were -- we had almost 2 types of resources in both of the divisions. What we've done is we streamlined the operations both at the deli side of it and at the retail side of it.
Michael Van Aelst - TD Securities Equity Research: And are you surprised at how long it might be taking to get some tuck-in or tuck-under acquisitions in that category? In the specialty cheese category or is no surprises?
Lino Anthony Saputo: No, no surprise. I mean, we -- and I've said this many times before and I hate to be redundant but we normally have 3 or 4 files on our table. Some of them fit strategically, others don't. Sometimes we go down a process and, for whatever reason, we don't materialize an acquisition. That's nothing new to us. Again, we don't feel like we have to make an acquisition within any given year. We're looking at making the right acquisition at the right price and if it happens to be in the short timeframe, great. If it happens to take a little bit longer, that's fine, too. Michael, you know that you've been following us for quite some time. We've had a couple of acquisitions that we have to go back to the table 2 or 3 times before we materialize it. That's all part of the process. Nothing different in specialty than we would find in commodity products. There's no real magic wand there either that would make it a different process. So we're not surprised at all. We're very patient. We're very disciplined. And when the right one comes along, we'll be very proud to announce it. Until that time, we'll just keep on moving forward.
Michael Van Aelst - TD Securities Equity Research: Okay. And a more general question, I guess. If you look at the growth in the profitability in the business in general over the last, I guess, year-to-date in fiscal '13, it's been pretty modest, I guess, at this point. Argentina is obviously a big factor of that. How much of your -- I guess, how much were you impacted in this quarter by the floods that occurred in the prior quarter in Argentina? And what's the outlook, would you think, for global demand and global pricing of the products you're selling from Argentina?
Lino Anthony Saputo: Yes. There were a couple of factors that did affect the volume in Argentina and the floods are one of them. And then you look at -- there were some strikes that had impacted the amount of milk that we were receiving at our plant. And that's par for the course. That's the way it is in Argentina. Like in U.S. there are other issues; in Canada, other issues. We deal with that. I think the biggest driver of what we've seen out of the profitability of Argentina have more to do with the international selling price. Now if you look at historically, whether we sell to China or not, China has a huge impact on international dairy pricing. China went from double-digit growth to single-digit growth. That's going to have an effect on the dairy industry as a whole. That's going to have an effect on international pricing as a whole. This year, we were impacted by that, either directly or indirectly. So the Argentina effect has less to do with the volume per se, more to do with the pricing. The outlook, from what I'm hearing and I'm reading, is that prices for dairy solids are going to firm up in the upcoming fiscal year. So again, if you look at it in isolation from a quarter-to-quarter perspective, maybe there's cause to be concerned. If you look at it from a longer-term perspective, which we always do, I think there's going to be less supply than there is demand into 2014 and beyond. So I think we're in a very good industry. I think we're in a very healthy industry. I think we're producing very good products, high quality, low cost, in categories that are, I think, going to be in demand for a very, very long time. So again, if you look at it in isolation quarter-to-quarter, perhaps, yes, historically, this year has not been as prosperous as other years. But I'm looking at it from a longer-term perspective and I'm saying I'm glad my father and my grandfather chose this industry.
Operator: And we'll proceed to our next question, the line of Mark Petrie with CIBC.
Mark Petrie - CIBC World Markets Inc., Research Division: Just a couple quick follow-ups. So in the retail volumes in the U.S., was specialty any different from the balance of the portfolio? In Canada, specialty has sort of been leading the way for a while. Is that the same in U.S.?
Lino Anthony Saputo: I don't think I quite understood the question. In Canada, we do have the retail and the food service, although our percentage of retail in Canada is much larger than our percentage of retail in the U.S. So I'm not sure I understood your question perfectly.
Mark Petrie - CIBC World Markets Inc., Research Division: I guess, just in terms of product mix, like were volumes in your specialty cheeses in the U.S. any better than the volumes in the other parts of it?
Lino Anthony Saputo: Yes. I would say that the volume in the specialty in the U.S. are -- I don't know. L. P., if you have anything to add? I'm not sure I'm fully understanding the question right and I don't want to say the wrong thing here.
Louis-Philippe Carrière: Certainly. When we're looking -- or when we are referring to, I would say, a drop in volume in the U.S., it's mainly attached or related to commodity product than to specialty, if it could answer your question.
Mark Petrie - CIBC World Markets Inc., Research Division: Yes. So specialty trending better than commodity?
Lino Anthony Saputo: Specialty, yes. If you're asking -- specialty growth is -- exceeds the growth in commodity products. Yes, that will be true in Canada and it will also be true for the U.S.
Mark Petrie - CIBC World Markets Inc., Research Division: Yes, okay. And then you mentioned the possibility of organic growth in the U.S. and some of your competitors have, over the course of time, been investing in new facilities, be it for actual cheese production or byproducts. Are you guys where you want to be in terms of your manufacturing footprint and your byproduct processing and further growth would be only through M&A? Or do you think there's some possibility for organic growth?
Lino Anthony Saputo: I think there is opportunity for us to have organic growth. I think we can grow our base by about 1.5% to 2% per year. But again, relating to my earlier comment, we are fiscally responsible. If that growth is going to come at margin compression, there has to be a compelling reason for us to do that. So I would say largely, the growth that we are going to have is going to come from acquisitions. And that's the way we've been historically. Even when we do make an acquisition, sometimes we have exited some categories of products or chose not to supply some of the current customers only because the profit margins were not what we would expect them to be. So we have receded only to progress further on. But if you're looking for real catalysts for growth, that would be through acquisitions.
Mark Petrie - CIBC World Markets Inc., Research Division: And if you look at the industry overall over the last few years, has there been much change in total capacity? Like, do you think that's roughly kept paced with demand or do you think there's been any change in sort of oversupply or undersupply?
Lino Anthony Saputo: I don't think there is an oversupply, as we speak, of course, yes. You're probably referring to some of the announcements for increased capacity. That does -- times come with some shutting of our facilities or improvements within the dairy industry. But I don't see right now that there's an overcapacity of manufacturing volume versus the demand.
Operator: [Operator Instructions] And our next question is from BMO, Mr. Jonathan Lamers.
Jonathan Lamers - BMO Capital Markets Canada: We noticed that Saputo has not repurchased shares pursuant to its normal course issuer bids since November. Should we assume that you will not be active with the NCIB until you have had time to repay the Morningstar acquisition debt?
Louis-Philippe Carrière: But 2 things. In the last quarter, we effectively repurchased some shares. I think it's probably in the value about $16 million; that's in the third quarter. Probably less active than previous quarter as you saw but keeping in mind, also, there was a transaction in the pipeline at that time. So sometimes you have to refrain from acting on the market. And to look ahead, it does not mean because we bought Morningstar and put some debt on the balance sheet that we are going to stop. We're going to evaluate. If it makes sense for us as an investment to essentially buy back our share, we'll do so.
Lino Anthony Saputo: And maybe, if I can just add to at that, again, relating to my earlier comment, the Morningstar acquisition was $1.45 billion. We've talked prior to the acquisition that we have financial flexibility of upwards of $3 billion to $3.5 billion. The Morningstar acquisition by no means stops us from pursuing those initiatives that we had prior to the acquisition.
Operator: And our next question from the line of Michael Van Aelst from TD Securities.
Michael Van Aelst - TD Securities Equity Research: I guess a few more. On the bakery side, have you seen any improvement in recent months following the problems at Hostess? Is that creating more demand for your products in the States?
Lino Anthony Saputo: I'd say that it is opening up some doors, where Lionel and his team were knocking on some doors historically that were not opening up as quickly as we'd like. With the announcement of Hostess, at least those doors are opening up. We have seen a little bit of growth and, again, repeat business in our U.S. initiative on the bakery side, so those signs are very, very encouraging. And I think the bleeding has stopped and I think that there's quite a bit of a progress that's been made in the bakery division.
Michael Van Aelst - TD Securities Equity Research: On the Morningstar side. You've only had it for a month but has there been any surprises, positive or negative, since taking over?
Lino Anthony Saputo: At this stage, there are no negative surprises. There are quite a bit of a very, very positive surprises in terms of the quality of the personnel. When I went through the plant the first time in the due diligence process, unfortunately, I didn't have the opportunity or the right to walk around and shake people's hands. We were very limited in terms of our access to the number of people. Since I've returned, after the acquisition, I had the chance to meet, I'd say, more than half, probably 1,200 employees and everybody's really excited about this acquisition. They're excited about joining a group like Saputo, who is looking at growth and looking at investing in a dairy business, a dairy-focused-oriented company. So I guess the only surprise is that I'm overwhelmed with just how excited everybody in the whole Morningstar group is about this acquisition. In some cases, they're more excited than I am.
Michael Van Aelst - TD Securities Equity Research: All right. And then little tidbits. In Canada, you mentioned lower ingredient costs helping your margins, helping your profitability. What kind of ingredient costs other than milk are you talking about since milk didn't go down?
Lino Anthony Saputo: There are other dairy solids that we use to help stabilize the product. But again, as you know, Michael, the biggest cost ingredient is milk.
Michael Van Aelst - TD Securities Equity Research: And I understand that. Okay, and then just finally, can you give us some color on what's going on actually in the domestic market in Argentina in terms of demand and pricing?
Lino Anthony Saputo: Actually, domestic market has been very, very favorable to us and we're very lucky and very happy that -- when was it? 2003? We invested in -- about $50 million in additional capacity and flexibility. That flexibility that we invested in allowed us to be able to service the domestic market as much as -- or as importantly as the international market. Today we're very thankful for that because the domestic market has been strong, profitability has been very good and demand has been sustainable.
Operator: And we do have another question queued up. There's another follow-up question from the line of David Hartley with Crédit Suisse.
David Hartley - Crédit Suisse AG, Research Division: And just one other question. Maybe you can guide me on previous acquisitions. I'm just noticing that there's about $900 million of the sale price is allocated to goodwill. I mean, that's about 60% or so. What has it been in previous acquisitions, goodwill as relative to the size of the transaction?
Louis-Philippe Carrière: Honestly, I don't have specific. I don't have any -- we'll have to go back to a specific acquisition. There's some that have -- on which there was less goodwill. But specific case, you will have to return to a specific acquisition that we did in the past.
David Hartley - Crédit Suisse AG, Research Division: And will any of that goodwill be reallocated at a later time into kind of customer lists or value of brand, that type of thing?
Louis-Philippe Carrière: I would say until the subsequent event know that we -- on which we allocate the purchase price. First of all, it's, I would say, a preliminary allocation that we are doing. Certainly, we need to conduct a purchase price evaluation, of which it's not only goodwill. There's goodwill, customer relation, to a mark [indiscernible] to a certain extent and on which we are bucketing actually into a necessary [indiscernible] amount.
Operator: And Mr. Saputo, we have no further questions at this time. I'll turn the call back to you.
Lino Anthony Saputo: Thank you very much, Tommy .
Unknown Executive: We thank you for taking part of this conference call. We hope you will join us for the presentation of our fiscal 2013 fourth quarter and year-end results in June. Have a nice day.
Operator: Thank you. Ladies and gentlemen, this concludes the call for today. We thank you for your participation and ask you to disconnect your lines. Have a good day, everyone.